Executives: Sharon Haward-Laird - Head, Corporate Communications and Investor Relations Bill Downe - Chief Executive Officer, BMO Financial Group Tom Flynn - Chief Financial Officer, BMO Financial Group Surjit Rajpal - Chief Risk Officer, BMO Financial Group Darryl White - Group Head, BMO Capital Markets Cam Fowler - Group Head, Canadian Personal and Commercial Banking, BMO Financial Group Mark Furlong - Group Head, U.S. Personal and Commercial Banking and Chief Executive Officer, BMO Harris Bank N.A. Gilles Ouellette - Group Head, Wealth Management Frank Techar - Chief Operating Officer, BMO Financial Group
Analysts: Gabriel Dechaine - Canaccord Genuity Robert Sedran - CIBC World Markets Brian Klock - Keefe, Bruyette & Woods, Inc. Darko Mihelic - RBC Capital Markets Mario Mendonca - TD Securities Sumit Malhotra - Scotia Capital Markets John Aiken - Barclays Capital Peter Routledge - National Bank Financial Steve Theriault - Bank of America/Merrill Lynch Meny Grauman - Cormark Securities
Operator:  Please be advised that this conference call is being recorded. Good afternoon and welcome to the BMO Financial Group's Q4 2014 Earnings Release and Conference Call for December 2, 2014. Your host for today is Ms. Sharon Haward-Laird, Head, Investor and Corporate Communications Investor Relations. Ms. Haward-Laird, please go ahead.
Sharon Haward-Laird:  Thank you. Good afternoon, everyone and thanks for joining us today. Our agenda for today's investor presentation is as follows. We will begin the call with remarks from Bill Downe, BMO's CEO; followed by presentations from Tom Flynn, the Bank's Chief Financial Officer; and Surjit Rajpal, our Chief Risk Officer. After their presentations, we will have a short question-and-answer period where we will take questions from pre-qualified analysts. To give everyone an opportunity to participate, please keep it to one or two questions and then re-queue. Also with us this afternoon to take questions are Frank Techar, Chief Operating Officer; Cam Fowler from Canadian P&C; Mark Furlong from U.S. P&C; Gilles Ouellette from Wealth Management; and Darryl White from BMO Capital Markets. We will end the call with comments from each of our group heads and from Frank Techar on our fiscal 2015 outlook. On behalf of those speaking today, I note that forward-looking statements may be made during this call. Actual results could differ materially from forecasts, projections or conclusions in these statements. I would also remind listeners that the Bank uses non-GAAP financial measures to arrive at adjusted results to assess and measure performance by business and the overall Bank. Management assesses performance on both a reported and an adjusted basis and considers both to be useful in assessing underlying business performance. Bill and Tom will be referring to adjusted results in their remarks, unless otherwise noted. Additional information on these adjusted items, the Bank's reported results and factors and assumptions related to forward-looking information can be found in our Annual MD&A and our fourth quarter earnings release. With that said, I’ll hand things over to Bill.
Bill Downe:  Thank you, Sharon, and good afternoon, everyone. BMO’s fourth quarter results concluded the year in which the Bank delivered $4.5 billion in net income, with earnings per share up 6% from last year. This performance reflects a well executed customer focused strategy and momentum we've demonstrated over a number of consecutive quarters. We’ve clearly strengthened our position in the market and become more competitive. In 2014, earnings reached another high with great execution from our operating groups. Our largest business, Canadian P&C, had strong annual earnings growth of 11%. Personal and commercial banking in the U.S. demonstrated improved trends in revenue and earnings growth in the second half of 2014. And both P&C businesses had strong organic growth in loans and deposits. Wealth Management had another good year with over $800 million in earnings while completing the acquisition of F&C. And with the expansion of our asset management platform, we’ve strengthened our position as a globally significant money manager. Despite Q4 being the slowest quarter in 2014 for capital markets, the business generated over $1 billion in earnings for the year with strong returns and good progress on our U.S. strategy. Capital Markets and Wealth Management continue to provide valuable diversification to our business mix. Investments we’ve made cumulatively in our businesses since 2009 contributed in a significant way to this year’s results and are having a compounding effect that’s evident in our growth. Over the period, we’ve nearly doubled annual earnings and increased book value per share from approximately $32 to $48. This performance reflects a deliberate and consistent strategy grounded and moving ahead of our customers' expectations. Having completed the integration of our expanded U.S. platform in 2012, we’ve shifted from a heavy emphasis on conversion to ramping up how we go to market, to increase product categories per customer and bring new customers to BMO. We’ve recently refreshed and expanded brand support across our entire North American footprint. This investment is designed to build and maintain industry leading customer loyalty overtime to continue to increase market share and drive revenue growth as a consequence. I’ll now touch on a few financial highlights. Tom Flynn's remarks will focus on the fourth quarter and I'll provide my perspective on the year as a whole. Net income was $4.5 billion or $6.59 per share. Revenues were up 9% to $16.7 billion and return on equity was 14.4%. Credit performance was good with higher provisions largely reflecting lower recoveries compared to last year. Surjit will comment on credit later in the call. We ended the year with a very strong capital position which gives us the flexibility to balance growth opportunities with a return of capital to shareholders to maximize long-term value. Our common equity Tier 1 ratio was 10.1%, reflecting a quick rebuilding of capital following the F&C acquisition. We achieved this through good internal capital generation, while managing earning assets prudently. Today we announced a dividend increase, lifting our annual dividend to $3.20 a share. We also announced our intention to renew a normal course issuer bid, subject to regulatory approval. We view share buybacks as one useful part of our overall capital management approach. Turning to the operating groups. Canadian P&C had record net income of over $2 billion this year with 2% operating leverage. Total loans were up 8% and deposits were up 10%. Personal and commercial deposit growth was robust, reflecting the success of management actions we have taken to grow this side of the balance sheet. Efficiency improved 90 basis points this year as we have effectively balanced cost control with investments in the business. In personal banking, we're expanding our customer relationships to increasing products per customer. And we are building an integrated and seamless customer experience by accelerating our digital and physical channel capabilities. Mobile transactions continue to grow, roughly doubling from last year. In commercial banking, we continue to enhance sales force productivity and our targeting growth opportunities by region, segment and industry. U.S. P&C net income was $636 million in source currency, 3% ahead of last year. Total loans were up 7% with continued double-digit growth in core C&I loan, up $4 billion or 18%. We also grew checking deposit balances by 9%. Our large scale commercial banking business continues to build on its strength, focusing on new client acquisition, increasing share and extending our corporate payments reach. And we continue to improve our product and channel capabilities to make our banking experience more responsive and intuitive. We enhanced our mobile banking platform this year, enabling customers to book appointments in the branch from their mobile device. And mobile users grew by 18% while mobile banking deposits were up 60%. We finished the year with momentum delivering Q4 pre-provisioned pretax earnings growth of 5% from a year ago and operating leverage of 1.3%. BMO Capital Markets reported earnings of $1.1 billion for the year with strong ROE of 19%. Revenue was up 10%, reflecting diversified growth across the business, led by investment and corporate banking where revenues increased 16%. It was good progress in our U.S. midcap focused strategy with market share gains in investment banking as well as equity sales and trading. During the fourth quarter, Tom Milroy announced his decision to retire. Tom has been an exemplary leader whose vision, execution and client focus have made him highly respected among colleagues and clients. Under his leadership, BMO Capital Markets has solidified itself as a leader in Canada and a strong competitor in the U.S. Concurrent with Tom’s retirement, we announced the appointment of Darryl White as Group Head of BMO Capital Markets. Darryl joined BMO in 1994, progressing through various senior positions until his most recent role as Head of Global Investment and Corporate Banking. He has been a key member of the Capital Markets executive committee and has played an important role in shaping our strategy. And as Sharon said, he's with us on the call this afternoon. Wealth Management posted net income of 848 million, in line with last year, which included a significant security gain. There was strong underlying growth across the business with earnings up 15% excluding the security gain driven by good organic growth and the acquired F&C business. We continue to differentiate our global product offering through innovation to meet every aspect of our clients' evolving investment needs. BMO recently became the first Canadian bank to launch Exchange Traded Funds in the Hong Kong market. And looking ahead, we will continue to invest in our distribution to bring our strong manufacturing capability to North American, European, Asian and other select global markets. To wrap up, looking back at our performance against our medium term objectives, our annual EPS growth has averaged 9% for the past three years, in line with our targeted growth of 7% to 10%. Our capital ratios are strong and exceed regulatory requirements and ROE was within our targeted range, although below 15% this year on stronger capital levels. We fell short of our operating leverage objectives due to higher than planned expenses. We continue to target 2% operating leverage and believe work done in 2014 will yield benefits in the coming year. As we head into 2015, the environment in which we are operating provides both opportunities and challenges. The progress we made in 2014 and the momentum across our operating groups gives me confidence looking forward. We have an advantaged business mix, geographic diversification and a workforce with a deeply ingrained commitment to customers, all of which provide attractive opportunities for growth. You'll hear more in our outlook from Frank and our business heads at the end of the call. But on behalf of our more than 46,000 employees, I want to thank our customers for their loyalty. And with that, Tom, I’ll turn it over to you.
Tom Flynn:  Thanks, Bill and good afternoon. Bill has covered the annual results and so my focus will be on the quarter. Turning to Slide 9 to start. Q4 EPS was $1.63, up 1% from last year. Net income was 1.1 billion, up 2% from last year which included a $121 million security gain. Our results reflect the benefits of a diversified business model with continued momentum in both P&C businesses and in Wealth Management. Capital Markets results in the quarter were below trend, as I will discuss in a few minutes. Adjusting items are similar in character to prior quarters, with this quarter including F&C integration costs of 9 million after tax. Revenue was up 8% from last year to 4.3 billion driven by growth in all operating groups, particularly P&C Canada and Wealth Management. Net interest income was up 9% year-over-year driven mainly by volume growth, the stronger U.S. dollar and purchase performing loan revenue. Net interest income was up 3% from the prior quarter due to higher margins, volume growth and the impact of the U.S. dollar. Non-interest revenue was up 8% from last year, with increases across most categories. Security gains were significantly lower as the prior year included a pretax gain of 191 million in Wealth Management. Q4 expenses reflect spending associated with business and regulatory activities and some seasonal uptick. Expenses were up 14% from last year. Approximately half of the growth was due to non-operating type items, as shown on the slide. The effective tax rate of 16.8% was down from Q4 of last year and up from the prior quarter. Moving to Slide 10. Our common equity Tier 1 ratio was 10.1%, up 50 basis points from Q3. Higher capital levels improved the CET 1 ratio by approximately 35 basis points. Risk-weighted assets declined by 4 billion in the quarter. As shown on the slide, changes in methodology and book quality improvements drove the reduction with these partially offset by the impact of business growth and FX. Moving now to our operating group performance starting on Slide 11. As Bill mentioned, Canadian personal and commercial banking net income for the year exceeded 2 billion. Q4 net income was 526 million, up 14% year-over-year with 7% revenue growth and positive operating leverage. Total loans were up 5% and deposit were up 9% from the prior year NIM was up 1 basis point from Q3. Expenses increased 6% year-over-year and 2% from Q3 due to continued investment in the business and higher variable compensation, consistent with business growth. The efficiency ratio improved from last year to 50%. Moving to U.S. P&C on Slide 12. Net income was US$163 million, up 48% from last year, which had relatively high credit losses, and up 3% from Q3. Revenue of 705 million was up 3% from last year driven by strong commercial loan growth and higher deposits, partially offset by lower NIM. Loans were up 9% year-over-year with continued strong growth in core C&I balances of 21%. Revenue was relatively stable quarter-over-quarter despite a net interest margin decline of 9 basis points which was due to continued competitive pressures on loan spreads and strong loan growth. Expenses continue to be well managed and were modestly higher providing operating leverage of 1.3%. Turning to Slide 13. BMO Capital Markets net income of 191 million was down year-over-year and from a strong Q3. Q4 results include a $28 million after-tax charge for the adoption this quarter of the funding valuation adjustment and were impacted by weaker market conditions as well as lower client activity. The funding valuation adjustment, or FVA, reflects the funding cost or benefit associated with non-collateralized derivative positions. Revenue growth was 2% year-over-year as higher cooperate banking revenue, equity underwriting fees and security gains were partially offset by lower trading and the funding valuation adjustment. Expenses were up 9% from last year or 6% excluding the impact of a stronger U.S. dollar, driven mainly by higher employee expenses. Moving on to Slide 14. Wealth Management net income was 253 million, down from last year, which included a security gain of 121 million. Excluding this gain, net income would have been up 28%. Quarter-over-quarter net income was up 18%. Traditional wealth earnings were up 25% excluding a $23 million after-tax impact from the settlement of a legal matter and the security gain last year, reflecting good performance from F&C and organic growth. Q4 insurance results include 44 million after tax related to the impact of beneficial changes in actuarial reserves. The results saw continued growth in the underlying insurance business. Expenses were up year-over-year and were above trend due to a few factors, including the legal item I mentioned earlier. Assets under management and administration were up 44% or 17% excluding the impact of F&C, driven by market appreciation, the stronger U.S. dollar and growth in new client assets. Turning now to Slide 15. The corporate segment had a net loss of 39 million compared to a net loss of 22 million in Q4 of last year and 55 million last quarter. The year-over-year decline reflected above-trend revenue this quarter, offset by lower credit recoveries and higher technology and regulatory expenses. To conclude, our results demonstrate continued execution on our plans and priorities. And for fiscal 2014, we delivered record net income. And with that, I’ll hand it over to Surjit.
Surjit Rajpal:  Thank you, Tom, and good afternoon, everyone. Starting on Slide 18. Specific PCLs were $170 million, $40 million higher than in the prior quarter. This was due to lower recoveries in the purchase portfolios. Excluding the impact of the recoveries, PCLs actually improved this quarter. In Canada, personal and commercial losses were stable quarter-over-quarter, while in the U.S. commercial losses were lower. Looking at the full year’s results, total Bank PCLs were 19 basis points. In Canada, personal and commercial PCLs decreased from 31 basis points in 2013 to 28 basis points, reflecting stable economic conditions. PCLs for the U.S. personal and commercial group decreased from 61 basis points to 34 basis points as a result of the improved economic environment. Moving to the next slide. Formations were $534 million, up $77 million largely due to one commercial account in the U.S. Our GIL ratio for the quarter was stable quarter-over-quarter at 67 basis points and down from 91 basis points last year. In summary, our credit performance over the past year was good. Through active management of our portfolio we have made good headway in reducing our impaired loans. The portfolio remains well diversified and is of high quality. Looking forward, I expect continued good credit performance. I will now turn it over to the operator for the question-and-answer portion of today’s presentation.
Operator: Thank you. We will now take questions from the telephone lines. (Operator Instructions) First question is from Gabriel Dechaine from Canaccord Genuity. Please go ahead.
Gabriel Dechaine: Bill, I just wanted to touch upon some of the comments you were making about this year’s revenue and expense performance and how you fell short of your operating leverage targets. So the 10% growth in adjusted expenses was the big driver there. Wondering if you can shed some light on what investments were included in there that helped drive that number lower and what your expectations are for next year?
Bill Downe: I think the point of my comment, Gabriel, was to reinforce the commitment to continue target of operating leverage in the 2% level. And I think this year the deviation from that in part was a reflection of investments that we have been making in both technology and in making the capacity of the organization to deal with regulatory burden in a much more efficient way and a much more productive way will pay off in future years. As you know, there has been a big ramp up in the industry of expense on that side and we’re really looking for some abatement of expense through more efficient process. And then obviously the management of channels, so the modernization of the way we face the market and our branch systems, how they work with the call centers and most importantly, the rapid changes taking place in mobility. So I think our expenses came in higher than we had started the year anticipating. We accomplished a great deal and that’s really the basis for renewing the commitment to operating leverage improvement. Tom, you might want to comment briefly on a couple of the expense areas that would have been out or ordinary expectation.
Tom Flynn:  The total expense growth that we had in the years, as you mentioned, is 10%. FX contributed 3% of that and the acquisition of F&C 1%. So net of those items, more ordinary operating expense growth was in the 6% zone and that was driven partly just by normal expenses in the business and also by a higher level of investment in technology that we had in the current year with some of that related to regulatory items and some of that related to things that we’re doing, both to enhance our processes so that we’re more lean in our operations and also able to respond to client needs in a quicker way. And some of the technology spend was also associated with things we are doing in the digital space. And as Bill said, we feel good about how those investments will position us for next year.
Gabriel Dechaine:  And I mean I guess it's something that isn't unique to Bank of Montreal, but the outlook for revenue growth is not the strongest mostly due to the declines in Canadian consumer borrowing and a lot of banks are talking about pulling back on expenses and we haven’t seen that this year. I’m just wondering what we can hang our hats on to hope for better expense performance from any bank next year? Is there anything you can add there?
Bill Downe:  I think your point on Canadian personal and commercial is a good one in that I think we’ve shown very good anticipation around where there would be changes in the revenue growth. We’re hoping to continue to grind out market share growth, but we had good operating leverage performance in Canadian P&C for the year and are operating the business with that same perspective for next year. So I think that’s the area where the revenue sensitivity is the greatest and where the focus on managing the operating leverage is also for us an important marker.
Gabriel Dechaine:  A little follow-up for Surjit. If I look at the accretable yield this year, or Tom, it was a total of 238 million. I think it was last year or the year before, you’d given some indication of where you expected recoveries on impaired loans to trend down over the next year. Could you maybe give an indication of where you expect the recoveries on purchase performing loans to end up next year and how that should trend over the next couple of years even?
Surjit Rajpal:  Let me start. You asked -- I’ll answer the first part of the question and then I’ll pass it on to Tom. With respect to -- there are two elements, there were recoveries in the purchase credit impaired portfolio and I think in previous quarters I had indicated that that component of the portfolio has come down very significantly. Now it’s less than $500 million and most of that portfolio is performing, I mean more than 50% of that portfolio is performing. And the only benefit that we can get out of that portfolio is, while we’re not going to be selling too much of that going forward, I think we’re going to get a lot of it run off naturally. But having said that, we’ve recorded this at lower than legal balances when we bought the portfolio. So there is some upside left in the portfolio, but it’s rather small given that, as I said, more than half of it is performing. And so you’re talking about a portfolio of about $200 million where there is some upside. With respect to the purchase performing portfolios, we have taken some opportunistic sales in the last quarter, which we didn’t purchase this quarter. That portfolio is here to stay and we would like to manage that as part of our regular program. So there is no real push for us to sell that. We’ve absorbed that portfolio, we just carry it separately because of accounting reasons, but actually that’s very much part of our core book now. With respect to the accretion, I’m going to ask Tom to answer that question.
Tom Flynn:  So on the accretion, the amount of credit mark that will be amortized in the future is about 200 million. It’s a little bit higher. The revenue recognized in any quarter is a function of the regular amortization plus the acceleration of the amortization as a result of payoffs and the payoffs are obviously variable. And so, I think probably something under half of the 200 million will come through the revenue line in the year. Exactly where it will be will depend on what level of payoff and refinancing activity there is.
Gabriel Dechaine:  And then I guess there would be the PCL item as well, okay.
Operator:  Thank you. The next question is from Robert Sedran from CIBC. Please go ahead.
Robert Sedran:  Tom, we talked a fair bit on the last conference call about some pretty aggressive risk-weighted asset management that helped more or less offset the impact of F&C on the ratio. It seems like another aggressive move this quarter to manage that risk-weighted asset balance lower. And we’ve got a pretty good beat on what organic capital generation is. But is there more of this opportunity left to optimize the risk-weighted assets and actually generate more capital for deployment or return?
Tom Flynn:  A few things. Like you said, both last quarter and this quarter we had good performance on the risk-weighted asset side and it did reflect active management including some risk reduction. I would say the risk reduction part of the improvement with this quarter has run its course. And we did take the opportunity given F&C to look at positions that we didn’t think we’re earning sufficient return and with that liberated some capital. And in the current quarter, that contributed about 3 billion of RWA reduction. And so I think that piece is essentially behind us and we feel good about it. We have had some methodology changes over the last couple of quarters and those, as you know, can come and go. And so sitting here today, I would say we are not expecting anything really out of the ordinary looking forward and the rate of capital accretion that we have had over the last couple of quarters is above trend.
Robert Sedran: Maybe I am getting too cynical, but oftentimes we see those methodology changes and we think it’s the regulator doing something and it always seems to drive capital levels lower, not higher. So was there a net impact of these methodology changes or was it just model refinements that are working in your favor?
Tom Flynn: This quarter and last quarter, the biggest single methodology change relates to moving a part of our portfolio that has been calculated on a standardized RWA basis towards AIRB. And the part of the portfolio, the U.S. portfolio, it’s moving more slowly to AIRB and the majority of the methodology adjustment just reflects us moving to the Basel III advanced method of calculating RWA for that part of portfolio as the models have matured to a greater extent.
Operator:  Thank you. The next question is from Brian Klock from Keefe, Bruyette. Please go ahead.
Brian Klock:  My question is on Slide 17 in the Surjit's section, the loan portfolio overview. Just trying to think about -- the slide shows about 5.9 billion in oil and gas related exposure in the loan book. Thinking about with the WTI here under $70, should we think about that $2 billion of growth that you've had in that portfolio over the last year, should we think about the outlook may be slowing for that loan growth? And I guess maybe talk about maybe the expectations about the credit performance in that portfolio.
Surjit Rajpal: In terms of expectations for growth, they had been -- in the past few years there has been a lot of investment in this sector and so the portfolio has grown in keeping with those investments that the companies have made. With respect to the outlook, our portfolio -- at $5.9 billion, our portfolio is roughly 2% of our total loans and this is an important part of our portfolio, we do a lot of business with these companies. And they are -- we've always known that these are somewhat cyclical, you do have oil cycles that come and go and we have been in this business for a long time. But let me give you a little bit of feel for what this portfolio is about. About 40% of this entire portfolio is borrowing based. And yes, borrowing base is determined based on prices that you assume from time-to-time when you change, but these are -- so less than 1% of our portfolio is borrowing based, put another way. The other large chunk of that portfolio is really to investment grade companies that are in the oil and gas business but not -- and some in pipeline and midstream businesses. So that’s again largely investment grade. And then the smallest piece of our portfolio is in the services sector and that's largely in Canada, which is not at the wellhead, but for companies that do maintenance and roads and housing and such like that are tied to the performance of the sector. So when I look at this sector, firstly, I think the amount is not that large. Secondly, I think some of these companies do have the resilience. We've got investment grade portfolios in our company that have a lot of resilience. And the borrowing base is -- the borrowing based companies, you should look at borrowing based lending as -- it's a secured lending and it’s probably in my view one of the better forms of asset based lending, because there is oil in the ground and temporarily when oil prices do go down, these companies are able to withstand and over the period of time book themselves out. So if there is any negative migration of continued decline in oil prices and it’s sustained for a period of time, they will always come back with oil prices going back up or even remaining stable over a period of time. The exposure that we have roughly is two-thirds in Canada and a third in the U.S. And the Canadian side does benefit from a lower Canadian dollar. The Canadian dollar goes down with oil prices and that also provides a natural hedge for some of the costs that the Canadian producers have. So that plays out as a positive. So a long way to say I am not fairly concerned about the portfolio. Of course, oil prices need to be watched closely because they have much broader implications than just for this $5.9 billion portfolio that you point out. There are positives of course in a lot of areas. From a consumer lending standpoint with gas prices going down, there are many geographies that are going to benefit. The U.S. is going to benefit, Europe is going to benefit, not Russia though, and the emerging economies are going to benefit and Latin America can do that well. But when you look at it from that perspective, I think there is a lot of good that will come out from low oil prices. It could benefit us in other sectors.  I hope I have answered your question.
Brian Klock: Just a follow-up on that. Can you just talk about the servicing portion of that? Can you quantify how big that servicing portfolio is?
Surjit Rajpal:  That would be a little over 10% of the overall portfolio. And it's small names and, as I said, largely in the Alberta region and not at the wellhead.
Brian Klock: So, it sounds like right now it’s still a little bit too early with WTI just kind of dropping just recently, but with the borrowing base, with your price deck pretty conservative, you feel pretty good now right now. There's nothing that's showing up on your impaired loan formation at this point?
Surjit Rajpal:  No. In fact, at this point in time there's nothing. I was examining our migration, there has been as much positive migration as there has been negative, so it is actually neutral right now. There is nothing to worry about today. But as I said, it all depends on how long the prices remain low.
Operator: Thank you. The next question is from Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic:  Actually Surjit, so while we are on the topic, those impaired loan formation and this watch list, so maybe you can talk -- has anything actually hit the watch list? And maybe as a follow up, at what price of oil do you get concerned about this portfolio?
Surjit Rajpal:  The watch list is -- I'd hate using the word that I have used before -- minuscule. There's hardly anything in the watch list. It is rather, rather tiny. The sector has performed extremely well to this point in time. Now going forward, if oil prices, as you say, remain depressed, there will be some strain on some of these loans and there will be some negative migration. Hard to tell what it will be like and it’s also hard for me to tell you what price I’ll get totally concerned at. We run stress tests from time to time and we’ve done a number of those on a regular basis with respect to this sector. And the results of the tests that we've conducted do not cause me any concern at prices that we have done in the past as low as $60. And so I'll leave it at that, but we continually will keep looking at our portfolios.
Darko Mihelic: And maybe just a question on the expense. The bump up that we saw in the quarter, you sort of mentioned it, and this is a question obviously for Tom, but you mentioned that it was partially seasonal and hardly related to regulatory. And I guess what I’m wondering is, a lot of it showed up in equipment premises and so on. I’m just trying to get a feel for the run rate of the expenses and if the regulatory/technology costs are in fact fluid or should we think of it now as sort of a new run rate of expenses, in particular in that line item just because it caught me off guard a little bit and I struggle to see why it wouldn’t sort of remain elevated going into 2015?
Tom Flynn:  I’ll try to answer that. The expenses we did characterize as being a little elevated in the quarter. Some of that relates to the legal item that we mentioned and then there is some higher spend that not uncommonly goes along with the fourth quarter. We didn’t try to put too much emphasis on that point, but it is a part of the story. Heading into next year, the first thing I’d point out just as a sidebar is that in Q1 of every year we do record higher level of expense for eligible to retire employees and that is about 70 million of mix in Q1 and it's been at that level for the last few years. So it is just a Q1 event. And then looking through that for the year, I would say we expect regulatory expenses to continue to run at a higher level next year and that’s partly because we’re going through a change in the industry and people are making adjustments as a result. We do think there will be relief on that front in the future, but it won’t be next year. And I would say as an organization, and as Bill said earlier, we’re focused on managing expenses in a reasonable way, keeping a close eye on the relationship between revenue and expense. And I do think that the good operating performance really in both P&C businesses this year is a testament to that, P&C Canada 2% for the year and U.S. P&C in the quarter 1.3% and they’ve done a very good job of managing their expenses through the course of the year.
Operator: Thank you. The next question is from Mario Mendonca from TD Securities. Please go ahead.
Mario Mendonca:  Surjit, could we back to the oil and gas type questions? You referred to the 40% portion of the loan book that you called it borrowing based. Is that the same as what some oil and gas guys refer to as reserve based lending?
Surjit Rajpal:  That is correct.
Mario Mendonca: And the 50% that you said went to the investment grade lenders, or borrowers rather, is that more the covenant type lending?
Surjit Rajpal:  Yeah, that would be covenant type lending as well as lending to mid-streams and pipelines. And that didn’t go entirely to investment grade lenders, but the vast majority of that lending is investment grade companies.
Mario Mendonca: And you referred to the duration over which very low oil prices could have an effect. Were you referring to -- what are you referring to there? Like about 12 months so that the trailing 12 month tests become an issue?
Surjit Rajpal:  It is more than that. It also depends if the change in prices -- when the prices first started dropping, most people felt it as a shock. It was called the oil shock. But are they going to be sustained down there, one doesn’t know. But when we do a price decks for these borrowing bases, we have a different price outlook for every year. So when I talk about how low prices will be depends on how long they stay, because the present value, the cash flows for each year are depending on a different price level.
Mario Mendonca: Would it be unfair to ask questions about the price deck and where a lot of these loans got priced, like in the $80, $90 range or is that a reasonable question to ask?
Surjit Rajpal:  It’s not something we disclose, but they were definitely not at the high range that you talk about. They were done at higher levels than currently trading obviously, but we don’t normally disclose the level of our price deck.
Mario Mendonca: Just sort of related question. Ignoring the loan book now and just thinking about capital markets revenues, so M&A and underwriting, this is going to change year-to-year. But in any given year, what proportion of that capital markets revenue would actually relate to oil and gases? Could it be as high as 50% or would that be overstating things?
Darryl White:  Mario, it’s Darryl White speaking. That would be overstating things. If you look at our capital markets revenues, I can’t give you the total as a percentage of our revenues as it relates to energy, but I can give you some examples in the businesses that could be affected, you might argue, that could be affected going forward. But our equity capital markets revenues, for example our underwriting business in Canada would be about 1% of our total capital markets revenues and our commodity trading revenues would be about 1% of our capital markets revenues, our M&A revenues would be a little bit more than that. So when you add up all of the capital markets revenues that we would have, they would be in the single digits for sure as a percentage of total capital markets and probably in the low single digits.
Mario Mendonca: When you refer to 1%, 1%, you’re referring specifically to energy as a proportion of the equity capital markets revenue or you’re saying equity capital markets revenue is only 1% of the total?
Darryl White: No, I was referring to energy equity capital markets revenues as a percentage of capital markets revenues.
Mario Mendonca: Total capital market revenues, got it. So 1%, 1% and M&A you said was slightly greater than 1%?
Darryl White: Right.
Mario Mendonca: And then sort of a follow-up question then. If we in fact, going back to Surjit perhaps or Tom Flynn, if we do in fact see oil prices stay low for some time, at what point might that start to play out in the RWA? Or is it just not large enough to really move the needle?
Surjit Rajpal:  It would not be large enough to move the needle. The reason for that is, again, a lot of these loans, I said 40% of them, as you call them reserve base, they’re secure and the capital that gets allocated to secured loans is much lower based on the loss history of these loans. So I don’t think it’ll be material.
Operator: Thank you. The next question is from Sumit Malhotra from Scotiabank. Please go ahead.
Sumit Malhotra:  First just a point of clarification for either Tom or Darryl on the funding valuation adjustment. Tom, I think in your prepared remarks you referred to the 39 million cost this quarter as the cost associated with adoption of the FVA. Is that correct?
Tom Flynn:  That’s correct.
Sumit Malhotra:  How does this item impact you on an ongoing basis? And what I mean is, is this going to be, like we’ve heard over the last few years with the CVA or the DVA, something that can have an impact depending on how credit markets move quarter-to-quarter? Or is this something that’s more one time-ish in nature? Just looking for some color on how this moves on a go forward basis.
Tom Flynn:  So just to reinforce the one point you made. The charge in the quarter is outsized and reflects the adoption of this new practice which has become a market norm, which is why we’re recognizing it in the current quarter. In terms of regular quarterly movement in the number, we’re not expecting it to be significant quarter-to-quarter. So it could be in the order of, in an ordinary quarter, plus or minus 5 million and it’s a function of how the nature of the book changes, so how our exposure to un-collateralized derivatives would move quarter-to-quarter and a function of the relationship between our funded bond credit spreads and our CVS spreads. So those are the variables that impact it. But it shouldn’t be a significant item quarter-to-quarter. And in more volatile markets, we wouldn’t expect it to be the kind of item that CVA can be for the industry.
Sumit Malhotra:  And my second question is for Bill. Bill, in referencing your return on equity target and the fact that you came in slightly below in 2014, you pointed specifically at the continued build-up in capital ratios which is something we’ve talked about a lot. When you think about that 15% mark, and I know this is a medium-term target, but when you look at 2014, you had a very favorable PCL ratio, very strong capital markets. And at least from my seat, it doesn’t seem like the amount of capital you’re going to have to hold is going to change significantly. So in keeping that 15% target, what are you envisioning as the key component that gets BMO above that 15% level going forward?
Bill Downe:  There is a couple of areas where we expect to see the business grow and grow with reasonably good margins. And I talked about investment and corporate banking in the United States. The return on equity of capital markets clearly has been strong and that’s why we have been building the U.S. business with an investment in talent on the bankers side and on the advisory side and the revenues have been following. We’ve seen good growth in 2013, '14. We expect to see continued growth in '15, '16 and '17. So in that area, I think that will be a net contribution. U.S. investment banking, the business mix will change and more advisory and fee income. And in P&C U.S., as Mark has talked about the business, we have earned our way through pricing declines in the market, which are natural, and continued low interest rates, which have a dampening effect on the value, not on the value, but on the current return on the deposit base. And our own view is that those headwinds, including the run-off portfolios, have abated and that that business should be able to show good ROE, revenue growth and income growth, again contributing to the improvement in ROE. Because coming out of in a period of time like the last five years or six years you have I think an inherent conservatism in both the granting of credit and the estimation of the amount of capital required in those portfolios and I think both of those will be a favorable trend going forward. And then the ongoing cost of all of the regulatory change that's taken place, and this is a worldwide phenomenon in the last six years or seven years, as I alluded to in I think my first answer, we’re just getting a lot more efficient in managing that expense. We have a large U.S. business. We have invested in order to maintain our capability in the face of that regulatory change. A lot of the work that we’ve done I think will be applicable in the long run in the Canadian market as well, so spend once and use twice. So in the same way that we’ve maintained the commitment to an operating ratio improvement of 2%, we think that will flow through to the return on capital as well.
Sumit Malhotra:  So if I summarize, stronger results in U.S. capital markets and P&C and improved efficiency across the franchise gets you to that 15%?
Bill Downe:  Yeah. Correct.
Operator:  Thank you. The next question is from John Aiken from Barclays. Please go ahead.
John Aiken:  I guess a follow on to Sumit’s question. With the capital levels that you’re at, what do you think the message the Board is trying to convey to the market with the dividend increase as well as the renewal of the NCIB considering there actually were no repurchases on the last program?
Bill Downe:  Well, I think it’s a message of consistency with everything that we’ve said about the management of capital. We’re back above 10%, which I have indicated as the range that we wanted to get back into. We did that very quickly considering that we made a $1 billion plus acquisition in 2014 that was all goodwill, effectively all goodwill. So when you look at 2014 versus 2013, 2013 we bought back $700 million worth of stock. So they’re basically in alignment. And I would say that they would be good competitors with each other from the perspective of value creation or being accretive. So I think the message is exactly what we have said on virtually every call that we want to have strong capital because we believe that we’re going to generate good organic growth and that’s the best -- that’s going to give us the best return on capital. We’re going to increase our dividend consistent with the growth in earnings and we’re within the range. But we also know that having a dividend increase every second quarter or third quarter on a fairly regular basis is valued by shareholders. We happen to have two this year. I think last year we had one. But on a fairly consistent basis, adjusting the dividend up. And then, when we look at the investment horizon, if there are good acquisition opportunities, they can be balanced off against the buyback. So we want to have that capability in place. In '13 we used it to great effect. In '14 we made an acquisition that I think will turn out exceptionally well in the long run. It’s looking good right now. And in 2015 we have the flexibility that we want to fund organic growth to manage the dividend as we’ve been doing it to acquire businesses that are complementary and to buy back shares where we think it's accretive. So the message is entirely consistent with both our stated intent and the things you've observed us do.
Operator:  Thank you. The next question is from Peter Routledge from National Bank Financial. Please go ahead.
Peter Routledge:  Surjit, just on the oil price issue again. Surjit, it’s been a year, we are still $55 price of oil. Based on your judgment, based on your experience with stress testing, what will Canadian consumer delinquency and loan losses look like?
Surjit Rajpal:  That’s an interesting question, but a hard one for me to answer at this point in time. There are positives and negatives of low oil prices. And I think the one thing that we would like to get a fix on is if oil prices remain low, what impact does it have to the regions, particularly in Alberta, of that change, and how much does the manufacturing sector pick up as a consequence of a lower dollar that always accompanies an oil price decline. So it’s hard for me to jump all the way to consumer delinquencies at this point, but clearly we are mulling on that in our heads looking at all kinds of scenarios. And we will get a better fix as time progresses, but there will be positives that come out of it as well.
Peter Routledge: I would like to go back to Bill on capital. You've been pressing on getting capital or taking your capital ratio a little bit higher than at least some observers have thought. I mean 10%, sounds like that’s your run rate target. We have got the Department of Finance putting in the recapitalization regime next year probably and then the FSB doing the TLAC proposal granted for G-SIBs, but I don’t imagine [indiscernible] will fail to notice that. Is that 10% -- does that incorporate the expectation that those two changes are coming? And do you think that 10% will sustain through them both?
Bill Downe: We move to the 10% in the belief that that is right level for the CET1 ratio. And with respect to all of the other things that might happen, I think that we are essentially reaching the end of global cooperation on new standards, new regulations and new provisions. And at this point, I don’t expect, quite candidly, I don’t expect any major changes. What I think you will see is the forecast of higher capital levels working its way into the market in pricing. And as well, I think the next wave is going to be probably a broader encirclement or non-banks in the capital and liquidity regime, which I think will also be long-term positive to pricing. So I think that we certainly among the Canadian based banks have moved to the higher capital levels in a pretty effective way and have found a way to continue to earn good returns and I think basically that’s what’s going to happen across the industry.
Operator:  Thank you. The next question is from Steve Theriault from Bank of America/Merrill Lynch. Please go ahead.
Steve Theriault:  First question maybe for Cam Fowler. Good operating leverage again this quarter, but loan growth just under 5% is the weakest of the four quarters that we have seen for you as I'm noting a decline in mortgage balances by commercial. So maybe just walk us through, Cam, the trends you saw for Q4, talk a bit about your outlook for next year. Specifically, are growth rates that have had been well above industry average maybe not repeatable next year or should we look at Q4 as a bit more of an anomaly?
Cam Fowler:  I will cover both sides. On the personal side, as we expected, loan growth did slow and we were 4% in Q4, which was clearly where we were in the first half of the year. But I think consistent with the market, up to Q3 we did leave the market, as you know, on lending and on personal loans and the activities we feel quite good about in our own business. So looking ahead to '15, I would expect a similar performance and mid single digits on the mortgage side. On the commercial side we are a little bit lower quarter-on-quarter on the lending. We do have some seasonality in that number traditionally in Q4, but the activities in that business are strong, the pipelines are in that business are strong. So we feel quite good about the growth on the commercial side and pleased with year-over-year at 10%. On the deposit side, we are pleased. We have been focused on this in both personal and commercial well for several quarters now. And the personal deposit growth at 10% is pleasing and that’s not just the term side, that's everyday banking and some of the core things we watch in terms of the health of the business. So very pleased with the personal side and commercial deposits at 7% is good. So we expect I think that things did slow a little bit on the loan side in Q4. I would expect that we'll be able to keep our momentum in the mid single digits on loans, high single digits in deposits through '15 and perform well on both an absolute and relative basis against the market.
Steve Theriault: And in commercial you are not seeing any spiking competition that’s suggesting you might pull back or anything of that nature?
Cam Fowler:  No, not beyond what I’ve described in the last quarter. There is competition and it’s healthy.
Steve Theriault: Second question for Darryl, please, looking at the interest rate trading for this quarter, reported at 21 million. Am I right in adjusting that FVA, does that go through that line and should we be looking at more 60 million for that line item this quarter?
Darryl White:  Steve, you are exactly right. So if you add the FVA, you would get to exactly 60 million, which is itself a pretty steep decline from what you would have seen in the quarter prior at 90 million, which is itself a result and a fallout of the fairly extreme market volatility that we saw in the middle of the quarter which affected the quarter for us quite broadly. But your math is exactly right. You could take the 21 and out the 39.
Steve Theriault: So the below run rate number for this quarter, let’s call it on an adjusted basis, that’s obviously partly a function of the widening or the volatility in mid October. But how much of it would you say is due to reduced client activity versus maybe the desk losing some money with corporate spreads capping out for a period of days?
Darryl White:  It’s almost all, Steve, reduced client activity. If you look every quarter we have maybe a couple of days of losses on our desk and this quarter would be no different. It would be literally a couple of days and certainly nothing outsized. So the answer to your question is it's reduced client activity. If you sort of think about the quarter relative to the quarter prior, we had $139 million of less revenues overall ex-FVA impact. And when you look at the volatility that crept into the quarter toward the end of September, we saw the [VIX] (ph) jump up to, you guys will have noticed, around 26 was the highest level it's been in two and a half years. And as a result, markets for the full quarter, volumes in the market were down very substantially. If you look across not just you're referring to interest rate trading, but fixed income broadly, M&A, debt, equity underwriting, loan syndication both Canada and U.S. when we look across our businesses in the markets we participated in, their down, volumes are down about 20% to 25%.
Steve Theriault: And I guess appreciating that the dust is somewhat settled on volatility, thinking about next year and I guess having seen November, does it feel like we’re going to see sort of trading more like first half of '14 or second half of '14?
Darryl White:  It is tough to say. As you say, we’re only a month into the year and a month doesn’t make the year. But we can say that looking forward, we’re comfortable in a way that we weren't in the middle of the last quarter. Any capital markets business, as you know, can be affected by volatility. November certainly feels better than what we experienced in Q4. But I wouldn’t say it's quite to the level that we experienced in for example Q2, Q3 yet. But it’s one month and we’ve got 11 more to go.
Operator: Thank you. The next question is from Meny Grauman from Cormark Securities. Please go ahead.
Meny Grauman:  Just a question about the U.S. capital markets business, specifically on trading and underwriting. Wondering whether you saw any trends in the U.S. that were different from what you saw in Canada, any divergence there in terms of client activity or in terms of just the general direction of performance?
Darryl White:  No, it’s very similar in fact to what we saw in Canada. We saw to different degrees M&A volumes in the market in the U.S. in the mid market that we participate in down in the quarter. We saw equity new issue volumes down in the quarter, high yield down in the quarter and loan syndication new issue also down in the quarter in the U.S. So it was consistent from geography to geography with different variations depending on the product.
Meny Grauman:  And then just turning to the loan book, quite a bit discussion about that $5.9 billion direct oil and gas exposure. I am wondering if we look at the loan book as a whole on a second order of base, just wonder if you can give us any sort of indication. Is there any sense of what the exposure is to areas that are not direct oil and gas but that are highly vulnerable to persistent declines in oil prices? Is there any ballpark idea of is that a number that you kind of think about? Do you think about it in those terms?
Surjit Rajpal:  I think I tried to indicate that there are positives and negatives from oil price declines and it is difficult to look at them. I can’t go through every element with you, but clearly there will be positives and negatives. But we do look at it on that basis. We look at the macro level, we look at geographies that will get impacted, then we look at industries and then we look at clients. So we do do that sort of analysis. And when we do our origination work from a lending perspective, we are very cognizant of those factors. Beyond that, I don’t think I can add anything today.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn the meeting over back over to Ms. Haward-Laird.
Sharon Haward-Laird: Thank you. As we said at the outset of the call, each of our group heads will now provide some comments regarding their outlook for 2015. We will start with Cam Fowler, Head of Canadian P&C.
Cam Fowler: Thanks, Sharon. 2014 has been a record year for Canadian P&C with [NI] (ph) above 2 billion for the first time. This momentum we have in the business reflects our continued focus on anticipating customer needs, enhancing our distribution capacity and driving our sales force productivity and the result has been above market balance sheet growth. In 2015, I expect we’ll deliver continued good revenue growth similar to 2014. I’d expect above market balance sheet performance, stable margins and positive operating leverage. We’re continuing to invest in the business to sustain growth in this dynamic environment. The key focus of our investments include our digital priorities in online and mobile, productivity through process renewal and sales force expansion, and the continued growth of our payments businesses. And I am confident, as I said earlier, that we’ll be able to continue our growth and sustain a performance that is strong on both a relative and absolute basis. Over to you, Mark.
Mark Furlong:  Thanks, Cam. We started the year with the view there will be an inflection for U.S. P&C and it certainly was. But overall, I am pleased with our performance this year, particularly in the second half when we delivered improved revenue and net income growth. Despite low interest rates and a highly competitive environment in the U.S., we were able to maintain our net interest income at last year’s level due to consistently strong loan growth throughout the year. We’re diversifying our sources of revenues in areas where we have significant opportunity to grow market share, including business banking and our treasury payment services and investing in our mortgage, our home equity and our credit card platforms which will generate top line benefits late in fiscal '15 and into fiscal '16. And we’re continuing to be extremely diligent managing our expenses. We expect to continue this momentum into 2015 and our growth over the last couple of quarters will look a lot like -- our growth over the next couple of quarters will look a lot like the last couple of quarters. So as we move into fiscal 2015, we expect growth to continue to improve with some assistance from rising rates. So at this point, let me turn it over to Gilles.
Gilles Ouellette: Thanks, Mark. 2014 was a great year for Wealth Management with net income over 850 million. Good business growth in the traditional wealth and insurance, at the same time completing the F&C acquisition and investing in our distribution platform. We expect to maintain this momentum by focusing on integrating the F&C platform, capitalizing on the cross-sell opportunities, to continue to strengthen our distribution and also to realize the benefits of our investments in the U.S. We think we’ll benefit from strong asset growth this year of 44%, which was 17% ex-F&C. We’re well positioned for growth in '15 and we’re pretty confident that momentum is going to continue. Over to you, Darryl.
Darryl White:  Thank you, Gilles. On the capital markets side, when we look back at 2014 as a full year, despite the very slow Q4 driven by the client activity that we discussed, we had a 3% full year net income growth with good contribution from our U.S. business and an overall ROE of 19.2% which was up from 18% in fiscal 2013. Looking forward, we expect to see continued growth based on our expectations for GDP growth in North America broadly and the opportunity to continue to grow our U.S. market share. Taking the geographies and the businesses together, we’re very comfortable with the direction of our mix. So assuming constructive markets, we feel very comfortable with our 2015 growth prospects. Turn it to you, Frank.
Frank Techar:  Great. Thanks, Darryl. Just a few brief reinforcing comments to close the call today and the first one this. As we end a good year, we’re all focused on one thing as a Group and that is sustaining momentum in each of our operating groups in our businesses. The second one would be, as Bill and Tom said earlier, we’re confident that our continued investment in areas that will support revenue growth as well as process enhancements will lead to productivity improvements next year. As Bill said earlier, we have an advantaged business mix, geographic diversification and a customer vision that provides attractive opportunities for growth in the current environment. And the third thing I’ll just leave you with is we’re all confident that 2015 will be another strong year for BMO. As this is our last call of the year, I’d like to wish everyone the best for the holidays and we look forward to seeing you in January at our Investor Day featuring our Canadian P&C and Wealth Management businesses. That's it. Thanks and good afternoon.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. And we thank you for your participation.